Operator: Good morning. My name is Lisa, and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the New Gold 2013 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session (Operator Instructions) Thank you. Hannes Portmann. You may begin your conference.
Hannes Portmann: Thank you, operator, and good morning everyone. We appreciate you joining us today for the New Gold 2013 fourth quarter and full year earnings results conference call and webcast. On the line today we have Randall Oliphant, Executive Chairman of New Gold; Robert Gallagher, our President and CEO; and Brian Penny, our CFO will also be available during the Q&A period at the end of the call. Should you wish to follow along with the webcast, please sign-in from our Homepage at www.newgold.com. If you’re participating in the webcast, you can type your questions through the interface. Before Mr. Oliphant provides us with an overview of the results, I would like to direct your attention to our cautionary language related to forward-looking statements found on Slide 3 of the presentation. Today’s commentary includes forward-looking statements relating to New Gold. In this respect, we refer you to our detailed cautionary note regarding forward-looking statements in the presentation. You are cautioned that actual results and future events could differ materially from those expressed or implied in forward-looking statements. Slide 3 provides additional information and should be reviewed. We also refer you to the section entitled Risk Factors in New Gold’s latest MD&A and other filings available on SEDAR, which sets out certain material factors that could cause actual results to differ. In addition, at the conclusion of the presentation there are a number of end notes that provide important information and it should be reviewed in conjunction with the material presented. I will now turn the call over to Randall.
Randall Oliphant: Thanks Hannes, and good morning everyone. Thanks for joining us today to discuss our fourth quarter and full year results. I believe most of you are aware that we previously announced our operational results on February 6, and we appreciate that many of you joined us as well at our Annual Investor Day to discuss those results. In light of this, our focus today will be on the financial results. However, there are important updates related to our operations and development projects that are worth reiterating. Slide 4 provides a few of our quarterly and full year highlights. The fourth quarter was our best of 2013 providing a strong finish to a challenging year. In 2013, gold activities across the industry were negatively impacted by the $400 an ounce decreased in the gold prices. And in the case of New Gold specifically, we encountered the first real operational difficulties in our company’s history. I am proud of how our team worked to address these challenges at Mesquite and Cerro San Pedro, which combined with the very strong performances of New Afton and Peak led to a strong fourth quarter. During the quarter, our four operating mines produced 107,000 ounces of gold at very low cost. This enabled us to generate over $90 million of cash flow in the quarter. In 2013 New Gold produced 398,000 ounces of gold at a cash cost of $377 an ounce, representing the lowest cash costs in our company’s history. Our low cost position enables us to generate strong cash flows in 2013. After adjusting for non-recurring items, we generated $249 million of cash flow. Our adjusted earnings in the quarter were $0.04 per share and for the full year were $0.13 a share. I will provide additional detail on our earnings in a moment as part of our financial review. Although I mentioned earlier, that the decline in the gold price through 2013 provided a more challenging backdrop for our industry, it also created opportunities. We feel fortunate to have seized such an opportunity through our successful acquisition of Rainy River. The Rainy River project further enhances our organic pipeline with its manageable capital costs, significant production scale, low average costs and continued exploration potential. Most importantly, we were able to add this great project to our portfolio while only increasing our shares outstanding by 5.5%. Slide 5 provides a summary of our quarterly and full year consolidated operating performance. As a result of New Afton and Peak’s strong performance in 2013, New Gold was able to deliver the lowest annual cash costs in our company’s history, despite the lower than anticipated production at Mesquite and Cerro San Pedro. Particularly an important operational highlight of 2013 was New Afton, achieving its targeted increase in throughput to 12,000 tonnes a day in September, three months ahead of schedule. The operation then went one step further averaging 12,500 tonnes a day of throughput in the fourth quarter. We are very proud that after only starting production some 18 months ago New Afton has now gone well beyond being a successful start-up this already finding ways to bring its cash flow forward, for the benefit of our shareholders. Slide 6 provides a summary of our financial results. Revenue in the fourth quarter was impacted by the decrease in the prices of the three commodities that we produced relative to the fourth quarter of 2012. But the benefit of a full year production at New Afton in 2013, we were able to maintain our revenue at similar levels to the prior year, despite a 14% decrease in the gold price and the 9% decrease in the copper price. Our operating margins in both the quarter and full year were impacted by the lower contributions from Mesquite, Peak and Cerro San Pedro. In aggregate, the lower contribution was driven primarily by lower sales volumes and in the case of Cerro San Pedro, higher operating expenses resulting from the need to adjust the mine plan after the previously announced Pit Wall Movement in August of 2013. We reported a net loss of $255 million and $191 million in the fourth quarter and the full year periods. Reported net loss in both periods is primarily attributable to an impairment charge of Cerro San Pedro. As part of our year-end financial review, we recorded a $206 million after-tax impairment charge, the majority of the impairment was related to bringing down the value ascribed to Cerro San Pedro’s mineral reserves and resources, as part of the purchase accounting at the time of the three-way merger of New Gold, Peak Gold and Metallica Resources in mid 2008. The resources that were written down were largely made up of the sulphide material are lies at the base of the current open pit which should require an extension of the pit and a new processing facility. In our view, the economic returns of pursuing these ounces was not sufficient and thus we removed them from our resource base. After adjusting for these items, including the impairment charge, the non-cash charge to earnings resulting from the monetization of our hedge position in 2013, one-time Rainy River transaction costs, non-cash losses on foreign exchange and non-cash mark-to-market of the company share purchase lines, adjusted net earnings in 2013 were $61 million or $0.13 a share. The fourth quarter was our highest cash flow quarter of the year. We generated $100 million of cash flow which included $7 million in tax refunds from our Peak mine. Our adjusted net cash generated from operations in the quarter was $93 million. In 2013, our adjusted net cash generated from operations was $249 million, this total adjust for certain non-recurring cash flows such as the $66 million payment to settle our legacy hedge positions and $18 million in Rainy River related transaction costs, which are partially offset by the previously mentioned $7 million tax refund. Slide 7, provides an overview of our operating consolidated year-end gold reserves and resources, but we finished 2013 with the highest reserve base in our company’s history. In summarizing, the changes to our reserves and resources I’d like to start with a few of our operations. At New Afton, to our Measured and Indicated Resources of both gold and copper increase through the growth of the C-Zone Resource, the reserves were impacted by a change in the modeling methodology. As we are now utilizing the geologically constrained resource model, the lower grade drill hole intercepts that primarily surround the perimeter of the ore body are more accurately being factored into the reserve base. The impact of this is two-fold. First, it lowers the estimated grade of the already existing reserve block primarily located at the outer edges of the deposits. And second, it brings an additional low grade draft points on the periphery of the block tape. Together, this brings down the weighted average gold and copper grades. As the vast majority of this lower grade material sits at the outer boundaries of the reserve block, both of the size and the top of the cave its impact is seen at the end of mine life. In the near-term, the production grades of both gold and copper in our New Afton mine plan remain largely unchanged. At Peak, we mined approximately 800,000 tonnes in 2003 of which we replaced approximately 300,000 tonnes through our exploration efforts. Most of these additional tones were delineated in the more copper rich ore bodies, within our mine corridor. This led to year-over-year increases in copper grade however, it also contributed to a decrease in the weighted average gold grade. At the same time, we employed a more conservative grade capping approach at our high-grade perseverance deposit. At Cerro San Pedro, we mined 14 million tonnes in 2013 as part of our mine planning we made the proactive decision to take an additional 7 million tonnes out of our reserves at year-end. The 7 million tonnes were at the bottom of the open pit where recoveries are lower and to access them would have required a larger stripping campaign. Based on the limited profit margins of this material, we felt that it was prudent to renew it from Cerro San Pedro’s mine plan. At our development projects, we grew our reserve base significantly. Through the combination of the Blackwater Feasibility Study and the accretive Rainy River acquisition, we added almost 12 million ounces of gold to our reserves. Importantly, we able to do this in a manner that provided each of our shareholders with a heightened exposure to our overall gold reserve base. Slide 8 highlights the 2014 guidance. Our gold production is expected to remain consistent with that of 2013 ahead of a range of 380,000 to 420,000 ounces of gold. At the same time, our copper production is anticipated to increase by about 12% with both New Afton and Peak scheduled to deliver higher copper production. The combination of this higher copper production and the depreciation of the Canadian and Australian dollars, leads to a further decrease in our cash costs from what was already a record low. We are particularly proud of our targeted 2014 all-in sustaining costs of $825 an ounce, which positions New Gold as one of the lowest cost producers in our industry. We look ahead at a quarterly basis for 2014, it is important to note, that the second half of the year and particularly the fourth quarter are scheduled to be our strongest operating and financial periods of the year. Slide 9 provides an overview of the multiple value enhancing initiatives underway at New Afton. You can see in the top right corner of the slide through its excellent operating performance, New Afton is expected to increase its gold production by 23% and its copper production by 13%. This is quite remarkable given New Afton is only entering its second year of both productions. In the lower left corner, we provide a few of the key details of the mill expansion we announced on February 6. This is a simple initiative with a very modest capital requirement of $45 million, which should generate a great return. To put it in perspective, today’s gold and copper prices this $45 million investment should result in approximately $35 million of additional cash flow annually, once the expansion is completed in mid 2015. To us, this is just one example of the value enhancing options that become available as new mines are developed. Another example is the ability to add life to a project through exploration success. When we built New Afton, the C-Zone was not considered in our planning. Now, less than two years later, we have added 26 million tonnes of higher grade resources that could extend New Afton’s life and further enhance its already very robust economics. We look forward to further exploring the C-Zone and advancing our internal engineering studies through 2014. Slide 10 provides an overview of our three development projects. Collectively, they provide our shareholders with a base of almost 15 million ounces of gold reserves and £2 billion of copper in jurisdiction that have rich mining histories. Above and beyond this, they have additional mineral resources and significant continued exploration potential at each property. As we have previously indicated, Rainy River is our priority project, through a combination of its capital costs being more moderate than Blackwater, its robust low cost production potential and its continued exploration potential, we believe that’s the successful development of Rainy River should generate significant value for our shareholders. This is further supported by the fact, that at today’s prices we expect to fund the development of Rainy River internally. It is the very similar plans that that which we executed at New Afton. On slide 11, we highlight some of the key thing with Rainy River. Located in Northwestern Ontario, Rainy River is ideally situated for mine development. It is easily assessable and only requires 17-kilometer tie end to Ontario’s power grid. The ability to combine Rainy River open pit reserves and high grade underground reserves, enables us to process head grades of 1.44 grams per tonne over the majority of the projects current live. This has multiple important economic impacts. Most importantly, makes Rainy River a lower cost operation which in turn drives higher cash flow and superior returns. In the top right corner, we have summarized the projects, NPV, IRR and payback periods under three scenarios. Including the base case used in the feasibility study, as you can see the combination of a $0.05 movement in the Canadian dollar and even a slight increase in the gold price has a profound impact on all of the economic metrics. It is important to note, that we very much view the numbers as a base case. Similar to the estimated economics for New Afton prior to its development, these numbers do not take into account the variety of value enhancing options that present themselves one for mine like the Rainy River is up and running. They assume, that we will not find ways to accelerate cash flow such as the mill expansion we’re embarking on at New Afton. They also assume that we will not find one additional ounce of gold in the largely unexplored new district. As such, with the combination of these base case returns and all of the additional options that should present themselves as we move ahead, we look forward to advancing Rainy River, thus far in 2014, we have already made significant strides. Our environmental assessment has been submitted and it’s progressing through its evaluation. In the month of March, we planned to submit purchase orders for our mobile fleet, primary crusher in SAG and Ball mills, and we intend to engage an EPCM firm will commence detailed engineering. We look forward to providing regular updates on our continued progress through 2014. Slide 12 summarizes why we, as shareholders ourselves are so excited about New Gold’s future. Over the next three years, we should see production grows significantly. This growth will come from organic projects including the New Afton mill expansion, Mesquite returning to run rate production levels, and the development of Rainy River. It will also much more than offset the Cerro San Pedro moving into its residual leaching phase in 2016. Looking further to the future, we have a pipeline of further organic growth with Blackwater and El Morro, both our large-scale assets that will generate significant cash flow and we feel very fortunate to have them both in our portfolio. Slide 13 outlines the factors that summarized what New Gold is all about. We ended 2013 with a highest gold reserve base we have ever had, all within a portfolio that is among the lowest jurisdictional risk profiles in our industry. Our Board and Management team have made their own very significant investment in the future success of this business. Our costs already among the lowest in the industry and the assets and our pipelines should further enhance our costs position. We have an unrivaled organic growth pipeline with projects that have solid base case economics and multiple embedded options that provide further opportunities to enhance returns as the projects evolve. Finally, we have a track record of value creation that we are very proud of. And that we see our company continuing by once again executing on the plans we have laid out. We thank you all for your continued support of New Gold. Should you have any questions, we would be happy to answer them now. Lisa?
Operator: (Operator Instructions) We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of Doug MacLean. Your line is open.
Don MacLean – Paradigm Capital: That’s my father. Good morning guys. Just wanted on the Rainy River, so it sounds like you’re moving ahead with that one. How much are you committing if you go ahead with ordering the long lead-time ordering items this month? And, are you getting any sense of that the costs are coming down?
Robert Gallagher: I will take that question, it’s a great question Don. First of all, we are committing about, our budget this year is $105 million, roughly half of that is long lead-time items. And then, when we entered these contracts we’re also looking at the ODAC [ph] scenario and what’s an exit price if we have to slow things down and whatever. Are we seeing a drop in some of these prices? All I can tell you is that, when you put together the feasibility study in gold and equipment manufacture, they open their book and they say 12 of these trucks are going to cost you X. Now that we are in executing purchase orders and writing contracts with these firms, there is more factorability in the price. And, we’re starting off on a good foot and we’ll see where that goes going forward.
Don MacLean – Paradigm Capital: If you will be helpful to get an update once you have made the commitment, may be early in April about how that’s actually stacked up. It’s a significant impact when you thought, well let’s say, if it’s a bad time to build mines when everybody is building and theoretically, it’s a good time to build when nobody is building?
Randall Oliphant: Yes Don it’s Randall. We’re seeing in total favorable numbers versus what we had in the feasibility side.
Don MacLean – Paradigm Capital: Great. Okay, thanks guys.
Robert Gallagher: Thanks Doug.
Operator: (Operator Instructions) Your next question comes from the line of Stuart McDougall from Jennings Capital. Your line is open.
Stuart McDougall – Jennings Capital Inc.: Thanks, operator. Guys just a couple of quick questions, I may have missed this as I came in a bit late, but just with respect to the G&A in the quarter, as well as the exploration expense, should we assume that, that is a good rate going forward in both cases?
Brian Penny: Well first of all, the exploration expenses in the fourth quarter was lower than the rest of the year. I think on an annual price basis it’s an appropriate number. G&A we’re benefiting from a lower Canadian dollar. Our run rate on G&A is about CAD$30 million per year.
Stuart McDougall – Jennings Capital Inc.: Thank you. And just lastly, I may have missed this as well, with the Mesquite going back to a run rate, did you actually quote a throughput rate, should we be thinking that it’s getting back up into the mid 30s, 30,000 tonnes a day in 2015 onwards?
Robert Gallagher: Yes we will be at the 30,000 tonnes per day level.
Stuart McDougall – Jennings Capital: Thank you. That’s it from me.
Robert Gallagher: Thanks Stuart.
Operator: Your next question comes from the line of Dan Rollins from RBC Capital Markets. Your line is open.
Dan Rollins – RBC Capital Markets: Yes, thanks very much. Just a quick question, with respect to Rainy River, have you guys had any conversations with the Ontario government about lower power rates given the fact that we’ve seen basically the Ring of Fire shot and given the success that Detroit [ph] has had a negotiating a lower power rate at Detroit late?
Robert Gallagher: Hey Dan it’s Bob here, we have not initiated those conversations at this time. However, our consultants are indicating that we should, we should receive similar consideration as Detroit recently did.
Dan Rollins – RBC Capital Markets: Okay, perfect. And then, just with respect to any definitive agreements or impact benefit agreements with the local stakeholders or First Nations in the area of Rainy River. Is there any other ones that need to be finalized before you can start to move forward post-permitting or is everything is in place at this point in time?
Robert Gallagher: We’ve got about 13 First Nations in [indiscernible] we have agreements with half of them we’re in active conservations with the other ones. The important thing on the permitting process is that First Nations are generally in agreement with preceding with the project and so we don’t an impact on the time I know of the approval of the environmental assessment related to First Nations.
Dan Rollins – RBC Capital Markets: Okay, great. Thanks a lot and have yourselves a great weekend.
Robert Gallagher: Thanks Dan.
Operator: (Operator Instructions) Your next question comes from the line of Josh Wolfson from Dundee Capital Markets.
Josh Wolfson – Dundee Capital Markets: Hi guys, just a following up on from the Rainy River questions. In terms of managing cash obviously there would be decision to sort of mobilize construction efforts happened immediately after construction decision for permitting or would you be able to differ that so you would theoretically delay any sort of costs or extra costs that gets to demobilize?
Robert Gallagher: See our objective is to get Rainy River up and running as quickly as we can, our project timeline shows initial operations ramping up at the end of 2016. And we’re preceding down that track and intend to continue to do so.
Josh Wolfson – Dundee Capital Markets: Okay. And then, just another question for New Afton reserves with the updated grade, what sort of grade profile should we be assuming how long can the current grade be sustained before the margins come into play with the process rates?
Robert Gallagher: That we’re looking at six years at similar production rates where we’re now and then tapering off towards the end of the year C-Zone that we’re in that.
Josh Wolfson – Dundee Capital Markets: Okay. Great that’s it from me, thank you.
Operator: There are no more telephone questions in the queue. I’ll now turn the call back over to the presenters.
Hannes Portmann: Yeah, Lisa it’s Hannes Portmann speaking. There was one question that came in through the webcast that I will read. So, with the very low cash cost of $377 per ounce, is there scope to get the sustaining cost of $8 to $9 per ounce down further.
Randall Oliphant: It’s Randall. Our forecast is to get it down about $825 an ounce in 2014. And I think we will see over time this as mines like Cerro San Pedro decline in production and mines like Rainy River come on stream at about $600 an ounce then in fact our all-in sustaining costs is going to continue down further each year as we go up.
Hannes Portmann: If there is no further questions we appreciate you taking time out this morning to join us. Thank you for your support of New Gold and your interest in our company. And as you know, if you ever have any – if you have any further questions please don’t hesitate to email us or give us a call. Thank you very much and enjoy your day.
Operator: This concludes today’s conference call. You may now disconnect.